Fani Titi: Okay. Good morning. We have a pretty exciting presentation today. So I propose that we start. I'd like first to welcome our colleagues in London. Today, the A team will present from London. I have in London, joining the presentation later today, Nishlan Samujh, our Group Finance Director. He will go through a bit of detail of the Group performance, and then we will have Ruth Leas give us a bit more of color on our U.K. business. As you can see in this result, we've seen significant growth in profits and really impressive performance from our U.K. business and Ruth will be followed by Cumesh Moodliar, our new Chief Executive of our South African business. Again, that business has performed pretty impressively in a very difficult market. So excited to be joined by this A team coming in from London. So I'll go straight into the presentation. As you all know, this year marks 50 years of our existence as a business. In 1974 in one small office here in Johannesburg, 18 people gated and decided to start what would become the Investec of today. 50 years later, we are in 11 countries. In fact, we were in more five, six years ago, and we have 7,500 colleagues around the world. And, in fact, as we report today, you will see that we will be reporting revenues of over £2 billion. For a little start-up in the southern tip of Africa, that really is an impressive fit to achieve over the time. In 1986, we listed in -- on the Johannesburg Stock Exchange, and in 2002, and I still remember the tears in Stephen's eyes when we got permission to list in London in 2002. And between that time and now, we have spanned very large businesses that are world-class and international in scale. I'll talk about Ninety One, which we demerged a few years ago. And in doing so, we released significant value to our shareholders, approximately £780 million. Recently, we deconsolidated Burstone, again, a really high-quality international-type business. Very recently, we bolstered our position within the U.K. market with the very strategically exciting combination of Investec Wealth & Investment U.K. and Rathbones. That transaction brought about the U.K.'s largest DFM with over £108 billion -- around £100 billion of assets under management and administration. And that really strengthens our position going forward within the U.K. market. Obviously, when you get to a moment like 50 years of existence and you celebrate it, we have to again say how grateful we are to our founders for founding this most incredible business that is Investec. And we also want to appreciate everyone who has been a part of Investec, our colleagues, our clients, so on and so forth. The magic of Zebra and out of the ordinary would not have been possible, but for the contribution of everyone that has been here at Investec that has made a contribution. In 2018, as you know, we had a fundamental change in the business in that the business transitioned from the founders. I know there were risks at that time about whether we would sustain the business. The transition was smooth. While the founders are gone, our commitment to our clients, our commitment to our entrepreneurial culture, our commitment to playing a positive role in society remains undiminished. And following on the transition in 2019, we looked to review the business as a whole and to chart a path forward that would lead to better sustainability for the business. And, in fact, that would lead us to achieving the returns on capital that we require. As a consequence of that, we demerged IAM now called Ninety One. In fact, last night, Hendrik sent me a congratulatory message that was really a lovely of him to do around this set of results. And following on that, as you know, we have executed a share buyback that has returned approximately ZAR 7 billion to our shareholders. Later in the presentation, I will touch on some of the achievements we have made against the commitments we made in 2019 in Cape Town. We now stand after 50 years at a point where we are well positioned to execute a strategy for sustainable growth over the next coming years. We stand here with humility, yet with confidence in our people and in our clients. We can justifiably be proud, but as I say, remain humble. Moving on to the next slide. I'm going to have a high-level view of the numbers. As you can see on this slide, the momentum in earnings as represented by earnings per share, adjusted earnings per share has continued. But this is really a consequence of what we do for our clients. We don't chase profits for the sake of profits. We chase service to our clients. And as a consequence, we are successful. So I'm grateful to all our colleagues for serving our clients as they have over the last year. There also has been very pleasing growth in the fundamental drivers of our business. These are core loans and advances, and you can see the growth over -- between 2020 and now. And you can see in the funds under management, similarly, very pleasing growth. And you can see in deposits that we have seen significant progress. As we go forward, we will continue to redouble our efforts to get a deposit franchise that is deeper, particularly in non-wholesale deposit taking. That is really important for our strategy as we go forward. Again, when we started off in 2019, we said we wanted to achieve returns above our cost of capital. And I'm really pleased that we are now at the top end of our previously guided ROE range. Why are we so persistent about getting the likes, the returns that are as high as we do? We do so because higher returns allow us to serve our clients better. They allow us to reinvest in the business. They allow us to invest in our people, higher returns also allow us to play a more meaningful role in society. And in fact, they allow us to reward those who have given us capital, rest their capital behind us. So we reward our shareholders through distribution. So I'm really pleased that we could get this level of return, 14.6% return in pounds. This return has been diluted by the effects of the combination with Rathbones. I think there's a 60 basis point or so dilution, meaning that the undiluted return or the return pre, the combination would have been 15.2%, an amazing return for a pound-denominated business. If we go into the next slide, Nishlan will go into the numbers quite in detail, so I won't spend much time on this. I'll just highlight two or three numbers. The growth in adjusted earnings per share of 13.4% against the backdrop of uncertainty in the markets, volatile markets, high interest rates, pressure on clients, we think it's a creditable performance. For our South African shareholders, the increase in rands is 30.8%, a really fantastic performance from our business. The cost discipline that we committed to in 2019 continues. As you can see, the cost-to-income ratio remains well within target. We continue to manage the business quite conservatively with respect to risk consciousness and risk management, and I've spoken obviously about the return on equity. With these improvements, we are at a point where we have announced a recalibration upwards of our targets by 200 basis points at a Group level, a significant acknowledgment and testament of the progress that has been made. I also would like to point out the increase of 11.2% in net asset value. Our business has a great capacity to generate capital and that you see in that number that is there. Just looking at the geographic picture. Again, as I said earlier, Ruth and Cumesh will go through the detailed numbers. In each of these geographies, we have scale, we have relevance, and we are seeing momentum in everything that matters. If you look at the underlying loan books in home currency, impressive growth given the environment, deposits, significant growth in home currency, given the environment and, of course, funds under management. In the U.K., we report the funds under management from Rathbones, our associates there. And, of course, in South Africa, the net inflows in this period have been absolutely fantastic, thanks to the team in IW&I International. And if you look at the U.K., you look at an ROTE of 15.7%, really at the higher end of what businesses like us produce in the U.K. In the U.K., we concentrate on ROTE because that market reports ROTE in terms of performance; and 2, the mix of our business with Rathbones -- post Rathbones is such that it makes sense for us to report ROTE. We will continue, obviously, to publish ROE for our U.K. business. In South Africa, we are pleased to report the 17.3% ROE for our business in pounds, not rands. In rands, obviously, that performance is much more significant. In closing in this first section, we continue to run our business with a great commitment towards sustainability and in particular, net 0. We've made our commitments in terms of fossil fuel exposure. And you can see at the bottom of this slide, the commitments we have made, we continue to track quite positively against those commitments. Over the last number of months, we have been refining our sustainable finance framework, and we have increased and we are driving activities across the Group in trying to contribute more in terms of sustainable finance. And, of course, as a bank, we have clients, we have suppliers, and we have taken a role of advocacy to work in partnership to assist our suppliers and our clients as we commit ourselves to a faster pace of decarbonization. So great profits reported, but an even greater commitment to making sure that we can run a business that is sustainable. I'm now going to hand over the presentation to Ruth Leas to give us a bit more depth and color on our U.K. business. Ruth, over to you. Or is it Nishlan? I'm sorry.
Nishlan Samujh: Fani, sorry to disappoint you.
Fani Titi: Sorry, Nish. I'm so excited to hear Ruth that I skipped you. This will give us analysis of...
Nishlan Samujh: Or color coated tie.
Fani Titi: Thanks, Nish. Over to you, sorry.
Nishlan Samujh: Anyway. Thanks, Fani. It's really great to be in our office in London. In fact, we are a bit stressed about the noise upstairs because this building has been prepared for Rathbones to come in. But let me just give you some of the backdrop. When Fani talks about a difficult economic backdrop, you can see that in terms of both the inflationary pressures that it remain pretty stubborn in the system, but albeit that we have seen some good signs that it's now coming under control. Economic growth in both South Africa and the U.K. markets remaining challenged, but again, positive signs that we are seeing some momentum come into the system as we look forward. Challenges such as the cost of living, still a reality in the markets that we operate in, given the inflationary backdrop. But again, we are moving forward in time. In terms of markets, we've seen volatile markets across. And you can see this with the JSE closing around about 2.1% lower than it's closed in March '23 -- at March '24. But at the same time, the average movement in terms of valuations was actually 4.75% -- 4.7% ahead of the prior year, similar volatility seen in the FTSE, albeit in a positive direction. The rand exchange rate has continued to weaken. We are in an election period, and we're about a week to go to the formalities of those elections. And yesterday, we learned that the 4th of July has meaning in this market. That's -- from a rand perspective, a 9.2% decrease in the overall rand value does have an impact. And you will see that we've had actually positive momentum in terms of growth of our loan books and deposit books, but in sterling terms, a lot more muted. And similarly, from an income statement perspective, for a business that operates within a cost-to-income ratio of 53% to weakening rand, obviously, has a negative impact on the bottom line with the rand weakening by about 14.8% over the period. Global interest rates, I think the good news is that, we've seen a peak in global rates around about the third quarter of 2023. The key question is, when do rates start coming down? And I think depending on the data that you read the news, it's sometime in 2024. I think it's always good to just reflect on the rate environments in both geographies. Obviously, that long period of very, very subdued rates following the global financial crisis. That period is now over and the cost of money is really into the system. And we saw quite a rapid increase over the last financial year. And I think noting that we've also seen it from an average perspective. So, for example, the U.K. base rate on average at 2.3% in the prior year and 5% in the current year, and South Africa at 9.4% and 11.7% in the current year. As we look forward, obviously, that momentum will stop. I think when you look at our results, a lot has gone on in these results. And it's for this reason that we've prepared a pro forma set of income statements so that you actually can compare on a like-for-like basis. Just to give you some insights into that, we are extremely excited about the platform that's been created with a combination of Wealth & Investment with Rathbones, a platform that has now reported AUM of £107.6 billion at the end of March and a platform that still has a lot of execution in front of it to deliver the value. Similarly for Investec and Rathbones itself. Now, prior to the end of September, we reflected our business, Wealth & Investment U.K. in terms of being consolidated. And post that period, we reflect an associate in Rathbones. Burstone, I think you saw a good set of results being released just the other day. And the internalization of the property management companies to that platform has really given that the completeness that is required. Again, we consolidated this vehicle, and now we carry it at fair value through profit and loss. The distribution of Ninety One took place fairly early on in the prior year, but obviously has some impact in terms of comparability and then the execution of the buyback. So when you look at things like the net interest income in South Africa, whilst we report growth, to some extent, that growth is subdued because of the execution of the buybacks, yet you see the positive momentum at the bottom line. In terms of earnings drivers, FUM up by 14.2% in neutral currency with net gross discretionary flows of about ZAR 16.6 billion in the current period, again, underpinning a strong base. Net core loans and advances growing by 6.1% in neutral currency and our deposits growing by 4.4% in neutral currency, particularly in our retail deposit base. The diversification of the book, I would leave that to both Ruth and to Cumesh to unpack as they go through the geographic detail. Now, if we look at the Group results, let's start with net interest income. I think again, we've seen a growth of about 5.6%. Note that some strategic action has had impact, but we've seen positive momentum given the backdrop of book growth in both geographies, as well as higher average interest rates over the period. I think in terms of net interest margin, plc reporting net interest margin of about 3.1% and South Africa around about 2.8%. Noninterest revenue growth was encouraging in this period, really being underpinned by the fact that we have grown our client bases, and we've continued to see some activity, particularly a return to some of our M&A and corporate activity in the markets. Our ECL charge on the income statement, it's a little lower from £81 million to £79 million, but it is a little higher in terms of core loans and advances, and we printed a credit loss ratio of about 28 basis points. That's reflective of a net recovery of about 4 basis points in South Africa and a credit loss ratio of 58 basis points in the plc. And looking at operating costs. Operating costs are up 3.2%, but really flat if you recognize the fact that we have provided around about £30 million for what we currently estimate is the total cost associated with the motor vehicle finance industry-wide review that has been undertaken. This slide is just a reflection on the fact that when you look at our cost-to-income ratio, we have a run rate in terms of IT spend that is built into that -- into the cost/income ratio across both South Africa and the U.K. We've continued to effectively mold our IT spend to focus on both business investment, as well as the run rate, obviously, protecting the business, so areas such as cybersecurity and dealing with AI, both as a business incorporating new technology and also dealing with the threats that come through these new channels are all incorporated into the run rate that we reflect with overall IT spend at just over £200-odd million in the current period. Now bringing the picture into totality, South Africa growing by 13% in the current period. So operating profit for the Group growing by 8% and on a pre-impairment basis, growing by 7.1% to £963.6 million for the combined Group. The U.K. business are reporting a growth of 21%. If we focus on some of the red lines, in South Africa, the banking business actually grew by 10% in rand terms, down 5% -- 4% -- sorry, yes, 5% in sterling terms. But again, a lot of the strategic actions, particularly the buybacks also influencing that outcome. The world business in South Africa, growing operating profit by 30% in this period, supported by good inflows, as well as positive momentum on the international strategy. Group investments in both South Africa and the U.K. impacted by strategic actions over the period. The Specialist Bank in the U.K. reporting growth of 34% over the period. And again, Ruth will unpack that detail. Wealth & Investment reporting a 10% drop in contribution to Group profitability is as expected. It's about six months into the execution of the Rathbones combination. It's still very early days. But again, the business has reported around about a run rate of £10.6 million of synergies that have been achieved in this period and a commitment to actually getting the business to an operating margin close to 30% by 2026. Now, as we have committed back in 2019, Group investments becomes less relevant in terms of the overall contribution. But this area printing an ROE contribution of 4.9% in the period. The key investment has been Ninety One, which generates in terms of dividend flows to the Group and ROE of close to 20%. Our investment in The Bud Group, we stopped equity accounting about a year ago. So subdued returns from that portfolio, but we continue to realize the assets relative to its carrying value overall. And the Burstone Group, we do fair value. So there is a bit of volatility in the valuation, but underpinned by underlying dividend flows that come through. Now, bringing the picture together in terms of ROE, the Group printed an ROE of 14.6% in the period. I think what's worth noting is, you see that the average equity for U.K. and other at about £2.7 billion. That incorporates a gain of around about £358 million as we carry the new investment in Rathbones at a market price based on the 30th of September deal that was executed. So that does bloat capital a bit. And to some extent, there is a drag of about 1% in the U.K. and other segment, and that will be around about 2% next year. And in South Africa, around about 1.2% next year as we have the full year effect of the increase in capital. So notwithstanding that, you still see a strong print of ROE at 14.6% and return on tangible equity at 16.5% for the combined group. In terms of net asset value, you see net asset value increasing from 507p to 564p. And that's really underpinned by profitability, net of dividend flow and notwithstanding the negative movement in terms of the rand, again, a very strong print. We have elected to reflect the intangibles that it's incorporated in the Rathbones carrying value as part as intangible because that's the basis on which you would reflect it on a consolidated basis, so to keep that consistent. And there's about 77p that is really the differential between what would be a pre-intangible value. In terms of capital and liquidity, overall cash and near cash remaining defensive at £16.4 billion for the Group. Leverage ratios in both South Africa and in the plc remaining strong. Capital ratios, I think, just to remind ourselves that in South Africa, we report under AIRB. And we have a targeted range of 11.5% to 12.5% for that particular balance sheet, again, printing strong capital ratios. The reduction from the prior year really the buyback processes and some of the execution of strategic actions. And from a plc perspective, reporting under standardized a CET1 ratio of 12.4%, again, well positioned to support growth in that market. So I think now, Ruth, it's your turn.
Ruth Leas: Thanks, Nish. Good morning. Welcome, everybody, to our London offices and very welcome -- warm welcome to everyone in Johannesburg as well. I'll be giving a high-level overview of the performance of Investec plc, starting with our strategic positioning and then move into some detail around the performance of our Specialist Bank. And lastly, focusing on where we are investing for growth and our growth opportunities going forward. Just a reminder or really a recap of what we spoke about back at our interim results in November is that, we have created a space for ourselves where we have a unique breadth of capabilities in the mid-market, in U.K. and Europe and in the other geographies in which we operate. So we have very significant competitors in each of the activities in which we engage. But there is not one single competitor in the U.K. space who brings a breadth of capabilities and diversified activities that we do across lending, advisory, hedging, transactional banking and deposits. And as Fani mentioned earlier, the entrepreneurial approach of Investec really seeded by our founders 50 years ago and growing strongly and delivering through our exceptional client service care in all markets in which we operate and leveraging our connected client ecosystems. This is something we've worked very hard at in the last few years is truly putting the client at the center of everything we do. It truly is one Investec, one leadership team, and we've created ourselves around client groups, private clients, private companies, private equity and listed companies, all performing activities in the corporate and investment banking space and the private banking space together. So we are meeting both the personal needs and the business needs of our clients and, at the same time, building scale and relevance in everything that we do. We continue to have a relatively small market share in the markets in which we operate, which gives us a tremendous runway for growth, and you've seen that growth really picking up significantly over the past few years. Calling out certain of the figures for Investec plc, our revenue up 15.8% against the prior year at £1.188 billion and return on tangible equity of 15.7%. Our cost-to-income ratio has reduced from 56.7% to 54.4%, with costs at £645.3 million and I'll unpack that for you in more detail as I go through the rest of the slides. The credit loss ratio of 58 basis points in line with the guidance we gave at the November results, and adjusted operating profit up 20.6% at £455.5 million. To point out the last line at the bottom of the slide, pre-provision adjusted operating profit increased 21.8% to £541.6 million, and we're particularly proud to be over that £500 million mark or £0.5 billion at this point in our journey. Just to contextualize for you where Specialist Banking fits in within this. If you look at the second line in this table here, you will see that Specialist Banking increased 33.9% from £303.4 million at March '23 to £406.2 million at March '24, and I'll take you through the detail of what's behind generating that increase in profitability. Looking first at loan growth. Net core loans grew by 6.4% to £16.6 billion. Underlying that, our corporate lending, which is diversified across multiple areas, including energy and infrastructure finance, direct lending, asset finance, aviation finance, real estate finance, et cetera, grew at 8.6%, and our high net worth mortgage lending reported growth of 4.3%. Clearly, the mortgage market has seen reduced demand industry-wide as interest rates have increased. And what we've also seen is that, redemptions are high, particularly for a client base like ours where we deal with high net worth individuals who have sought to pay down their mortgages early when interest rates are high. Nevertheless, we have achieved growth of 4.3% and the pipeline is building very nicely. We've also seen high redemptions in our corporate lending areas. So actually, to stay still is an achievement. And we've actually been able to grow relative to market, and that is a signal or a function of us continuing to gain market share. We, of course, have not reduced our underwriting standards and are behaving even more selectively than we have in the past with interest rates at the level at which they have risen to. Nevertheless, we have been able to grow strongly at overall loan growth of 6.4%. Our customer deposits also growing strongly to 8.7% to a total of £20.8 billion. A reminder that we are substantially retail funded in the market. We have seen growth in number of clients in our deposit -- our retail deposit channels of the order of about 17% to 18% of new clients in those deposit channels. We continue to maintain very diversified funding channels and always cautious around our liquidity. It's important to look at our diversified revenue streams. As a leadership team, this is what we've been very much focused on, which is stable, repeatable, recurring income streams, which we believe ultimately results in a strong multiple. You can see here that net interest income grew by 13.2%. This is based on the larger books that we have built over the last few years, our diversified lending books and, of course, higher interest rates, and it also stems from our cautious positioning from a liquidity and cash perspective, where we always run a very long cash position. If we look at noninterest revenue, you'll see that, that increased 36.5% predominantly from our capital-light activities. We are very pleased to see that we have had higher net fee and commission income, part of this off the back of our increased lending activity. We've also seen increased activity relative to last year in our plc advisory activities and also relating to our first-time consolidation of Capitalmind. Last year, we took a majority stake in Capitalmind, M&A activities in Europe, giving us an on-the-ground presence across selective countries in Europe, and we're pleased to see this consolidated into our results today. So overall, when you look at the fee income line, we are seeing an increase relative to last year. And we've seen a positive contribution from trading income from customer flow. There has been less volatility in FX markets making that area of the business challenging, but we have seen good flows in terms of our treasury, risk solutions, hedging activities and also positive contributions from the conservative risk management of our significantly reduced financial products book. Looking at the cost-to-income ratio. This has reduced from March '23 at 60.4% to 55.6%, you'll see that overall operating costs have increased by 9.3%, reflecting an increase in variable remuneration in line with our performance. And this also includes a £30 million provision from the industry-wide FCA motor finance review. If we exclude this provision, and we exclude the first-time consolidation of the cost of Capitalmind, our fixed costs grew only 2.9%, well below the average U.K. inflation rate, and we can see that we continue to exercise cost discipline and are constantly looking to increase our efficiencies in terms of our delivery. I'll just spend a minute or two on the motor finance provision. We started our business in the motor finance industry around the middle of 2015. In early 2016, the book was only £11 million. We're talking about 1% of market share. So a very small market share in a very highly banked industry and highly banked market, a very small player. And this exposure grew to around £555 million in March '21. The period of the review is until January 2021, of course, we believe we were in line with all regulations and legal requirements up to this date. Nevertheless, we feel that it is prudent to take a provision. We are able to do so given the relatively short period we've been engaged in this market. We have accurate data across this full period. We've applied a number of assumptions, various scenarios to come up with this figure, which will cover both litigation costs, operational costs, legal costs and also some estimation of potential redress. We acknowledge very clearly that there is significant uncertainty around this estimation, and we will need to wait to see the outcome of the review later this year to see where the FCA lands on it. And, of course, welcome the review also in the context of overall consumer duty where we feel always strongly around protecting the interests of our consumers. Looking at the credit loss ratio, we guided at the November interim results that we expect to see the credit loss ratio in a similar area to what we saw in the first half. And this is in line with our guidance. We've come through at 58 basis points, which is up from March '23 at 37 basis points. What we are seeing is, selective or idiosyncratic stresses across the book in various areas, but no evidence of trend deterioration and the overall credit quality of the books remains strong. It is usual to expect an increase in the level of defaults after you have seen significant increases of interest rates in a very short space of time. And as you can see from the following slide, we feel very well covered in terms of our coverage levels against these defaults. Bear in mind that Investec undertakes only secured lending. There's no naked lending undertaken here, and we are very focused as a business, always on collateral and loss given default. So we need to look into that when we look at our coverage levels and see that they are prudently provided. Nishlan spoke to Investec Wealth & Investment, which, as we all know, combined with Rathbones towards the end of last year. We're very pleased with how our strategic partnership is going together mainly between our private client business and Rathbones and that partnership continues to grow from strength to strength with a number of referrals from private client area of Investec through to Rathbones and also working on referrals back from Rathbones to Investec. We look forward to delivering significant value creation through the extraction of synergies in that business, which will be undertaken by Rathbones. And you will have seen in Rathbones recent reporting to 31 March '24 that they have reported run rate synergies so far of £10.6 million. It is early days in the stages of that transaction. So most importantly and excitingly, where are we investing for growth? You can see from the business and from the delivery that we are firmly on the front foot and delivering for growth and focused on growth. And this is against a very challenging macroeconomic backdrop. I don't have to tell everyone in the room how hard it has been to operate against a backdrop of very slow economic growth and uncertainty, both geopolitical uncertainty and, of course, political uncertainty, which has gone on for a very long time here in the U.K. So we do welcome the certainty or some level of certainty that we will get post the 4th of July with the move forward there. So as we sit today, looking at inflation printing at 2.3%, we feel that is actually a very positive print at that level of inflation at this point and it certainly looks that the next move in interest rates is downwards. We really are looking forward to that because we believe that, that will bring a positive improvement in sentiment, even if it's only a 25 basis point move downwards, we expect that levels of activity should increase around that and then further enable us to increase our market share of our very established, diversified client franchises. I explained at the beginning, our unique positioning and our unique breadth of mid-market capabilities, and as explained earlier, a large runway to grow. We've been able to grow against a backdrop of slow growth. So having wind in our sails from GDP growth in the U.K., in Europe, in the U.S., the Channel Islands and in India, some more wind in our sales from growth will certainly enable us to grow very strongly organically. We continue to focus on our growth in Continental Europe. We've been well established in that part of the world for some time, around 40% to 50% of our direct lending and fund solutions activity already takes place in Europe, and we have had a business in Ireland for over 20 years, currently undertaking FX and various hedging style transactions. We've recently hired some people on the ground in, or are hiring people in the ground in the Netherlands to continue that level of activity. And, of course, Capitalmind, with its presence and advisory activity on the continent, will enable us to take forward our proven track record operating selectively in Europe. We continue to focus on our alternative investment funds. We've mentioned a number of times that we are able to generate more risk than we can take on balance sheet. We distribute a very large amount of risk every year. That is partly because of our risk diversification strategy of keeping our books well diversified, but also our clients grow stronger and bigger quite quickly, which leads to a point in time that we can't service them at a very much larger stake. And we would be very interested in bringing in external capital into what is a very attractive market space of private credit, which we've been operating in very successfully for many years. We have large teams in these businesses. We have the experience of, not only selecting the credit, but also working through various cycles and being able to restructure and rejuvenate opportunities and exposures through the cycle. So we continue to focus on that. Those are long germination businesses, but exciting times ahead in that space. And then lastly, as mentioned earlier, focused on being one of the leading discretionary wealth managers in the U.K. and very much focused on the enhanced client proposition of both Investec and Rathbones as we go forward. I'd now like to call on Cumesh to continue.
Cumesh Moodliar: Good morning, everyone. Really a privilege to present these results today. I stand up here today representing close to 5,000 of my South African colleagues. And also, in many ways, I stand up here representing my predecessor, Richard Wainwright. I look at these results and the year to March '24 really represent significant effort under Richard's stewardship in the SA business and overall in the Group as a whole. So Richard, just an acknowledgment of the role that you've played and also similarly the growth mindset that Richard has embedded in our business in the Group in South Africa and I think also internationally. And on that note, also just talking about some of our outgoing DLC members, I'd also just want to acknowledge the role that Ciaran Whelan played in the -- in leading the Rathbones combination for us. So I think for us, standing up here -- for Ruth and myself standing up here and talking to these results, we represent the efforts and input and strong work of many, many of our colleagues across both geographies. If I turn to the South African business now, I think we have a very mature franchise across two core client segments, corporate and private clients. In saying that though, what we have continued to do is look at new opportunities, new segments to operate in and apply alternative ways to continue to grow our presence in the South African market. Similarly, across our Wealth & Investment business, our efforts to continue to grow our business in country, but also to continue to internationalize our presence in support of our domestic clients aspirations is a key part of that growth strategy. If I talk to the Specialist Banking business across both our corporate business, our investment bank and our private bank business, a key focus has been client acquisition. And notwithstanding a very difficult macroeconomic environment in South Africa, I think Ruth alluded to some of the broader global macroeconomic factors like low GDP growth, high interest rate environment. I think South Africa has also been beset by other macroeconomic challenges, particularly around the energy crisis, around transport and logistics and a number of other factors. As you all know, we're less than a week away or just over a week away -- under a week away from an election, and -- which will hopefully settle and create a greater level of confidence going forward. So as we enter this period, the key part of our strategy has been to put in place foundational growth platforms across all of our businesses. I'll chat to the numbers in greater detail. Nishlan has covered a fair bit of the detail. I think at a high-level, just looking at the revenue numbers and talking to our revenue, and I'm talking in South African rands, it's a bit more comfortable when your currency is depreciated by close to 15% to remain in your domestic currency. So, otherwise, it just becomes very difficult to a geographical comparison. So I think from a revenue perspective, just what's really been positive is revenue 7.1% ahead of -- 7.7% ahead of prior year. Our operating costs have ticked up slightly at 8.3% ahead of the prior year, which has had a slight impact on our cost-to-income ratio at 53%. Just bearing in mind that these numbers are reflective of the full South African business, and I will drill into the detail of both the bank and wealth businesses a bit further into this presentation. The credit loss ratio actually at minus 4 basis points, reflects significant recoveries we've had in the year under review. On a gross basis, our credit loss ratio would be at 9 basis points. So I think you still have a very positive outcome given the tough macroeconomic environment, and I think shows a level of conservatism within the business and the way we've managed our lending books over this period. Adjusted operating profit at ZAR 10.1 billion is 12.5% ahead of the prior year. And also, I think for the first time, we've actually broken through the ZAR 10 billion barrier. So I think similar to Ruth when she spoke about going through the £500 million mark, also a positive progress from our South African business. ROE for us, I think, has really been a key, key factor for us to considering the year under review at 17.3%. I will talk to further detail on that. And I think what's important to note has been the positive impact of the share buyback and how that's impacted our ROE. And similarly, looking to the underlying franchises in the SA business, we look at the Specialist Bank having an ROE of 19.2%. We can go into some further detail on the underlying businesses within the Specialist Bank franchises, and you can see that the ROEs of those businesses have been performing very, very well and maybe in line with peer group and substantially above in some areas. So a positive outcome in many respects for the business. And if we take the pre-provision adjusted operating profit has increased by 7.2% to ZAR 9.9 billion. Looking at a breakdown across our various business units. I think just highlighting our Wealth & Investment business, which has shown increase in operating profit of 29.6%. Certainly, some of that has been off the back of the currency depreciation given that over 65% of the assets under management are domiciled in hard currency. Notwithstanding that one of the -- and I think Nishlan's alluded to it also in his update was the positive assets under management inflows of discretionary assets of just under ZAR 17 billion. So showing continuing growth in that market and continuing client acquisition and also the leverage and benefit we're now starting to achieve from our private client strategy across the Group. So I think a significant uptick for us. Similarly, looking at the Specialist Banking business, 9.8%, up from the prior year at ZAR 9.5 billion. Group investments at ZAR 63 million and then Group costs at ZAR 353 million. So I think just a key factor in talking to some of the growth across the business would be looking at core loan growth. And total core loan growth of 5.7% to ZAR 343.7 billion. If I can just give some more color to that, I think growth in our corporate lending business, notwithstanding the tough macroeconomic environment has been fairly positive or positive at 6.7%. Private client loan book has grown at about 5.6%. What's been very interesting in that private client loan book growth has been the growth in our mortgage book of just over 7.6%. So I think what's key for me is looking at our book growth is saying the level of diversification coming through the underlying book growth, which talks to some of the growth strategies starting to pay dividends and also sets up the business, we believe, on the right platform for a go-forward view. Similarly, on deposits, up 0.4%. But the number for me to really highlight, and I think, which is very important for us, is the increase in non-wholesale deposits by 14.1%. So that's our retail deposit book. And again, talking to increasing diversification across our business, both on the loan book side and then on the deposit book side. As we look at the continuing momentum from our client franchises, I mean, just looking across our various income lines across deal and other fees, investment and associate income, a couple of the factors that we look at as also net interest income increased by 9.2% driven by higher average earning of interest on assets and similarly, elevated interest rate environment. The noninterest revenue declined by 1.4%. And some of that's on the back of low activity levels that you've seen across some of the franchises. We've still seen a positive contribution from investment income, particularly from our corporate and institutional bank in South Africa. Trading income from the balance sheet management reflects nonrepeat from a prior period, market-to-market losses in respect of that. This has really offset also by a decrease in trading income from customer flow due to lower interest rate derivative trading volume. So, again, a function of where the market is and where we would see an uptick, hopefully, if the macroeconomic environment improves in the coming period. One of the key aspects has obviously also been how we manage our cost-to-income ratio. And if you look at it at the Specialist Banking level at well under 50%, at 48.4%, but slightly up on prior year, which was 47.8%. This has largely been driven by increased personnel costs and also additional regulatory costs. The variable remuneration has also increased in line with performance within various areas of our business. So, again, we're still -- an item that we would continue to manage very carefully, but well within our target range. And I think also symbolic of the fact that in certain areas of our business, we've continued to grow headcount where we see growth opportunity. And we've also similarly continue to invest on that. I think I have unpacked the credit loss ratio in detail earlier. So I'll move on to just our next slide, which certainly covers our ECL provisions. And similar to Ruth, majority of our lending reflected here is collateralized lending. And we've seen a slight improvement in Stage 3. So I think, again, overall, a positive trend for us in many respects. And an easing interest rate environment will obviously hopefully improve all of those specific metrics. If I turn to our Wealth & Investment business, which I touched on earlier. One of the key facts for us has also been to see how the business has strategically grown. So outside of just talking to the absolute numbers here, the focus on the internationalization of the business. The key opportunity that the team identified in Switzerland and how we build that platform to support high net worth of Africans and also other international clients and a continued focus on, not just internationalization for our clients, but also adding a number of other value-added services like tax and fiduciary services, all of which can support our overall client base and deepen entrenchment. The funds under management in the period increased by 15.2% to just over ZAR 500 billion. And similarly, we've seen adjusted operating profit up by 29.6%. So I think if we look at the overall performance of that franchise and post a Rathbones combination, you're seeing this as still a significant growth on for our business and also a significant capital-light revenue stream for our Group. So a positive outcome from that engagement. And also, what we have seen is a number of other strategic steps taken by our Wealth & Investment business, which we'll update in further detail on later. If I can turn to some of the growth opportunities. And just to really talk to -- and not just an improving macroeconomic environment, but where do we believe we've got an opportunity to grow our specialist offering and into the segments that we believe we can focus on. So I think under Richard's watch, we had started a very significant drive to increase private banking client, core customer acquisition in our Private Banking business. In the year under review, our core client acquisition grew by just under -- net core clients in private banking grew by just under 9%. We will continue to scale that. And as the economy improves, we believe that those numbers would also improve significantly. I've already touched on the continuing and evolving deepening of our international proposition for our SA clients and what we're referring to now as our SA international clients, which will also support a broader Investec ecosystem across both SA, U.K., Channel Islands, Mauritius and Switzerland. So the full ecosystem of Investec coming together for those internationalizing clients from an SA perspective. The third aspect has been -- and I think Fani alluded to that in his opening was about deepening and growing our business banking proposition, which is really focusing on our mid-market segment and the opportunity to grow what we're doing within that space. We've already internally taken a number of significant steps to target our teams in a more integrating way across our -- all of our various banking areas in SA. So both the corporate institutional bank, the investment bank and the private bank and making sure that we have integrating teams focusing on the mid-market segment with our business banking proposition being the golden thread that hangs together within that segment. Similarly, we've looked at the potential opportunity in that space, and we believe that we can grow our share of wallet over the coming period of time. As we look to some of the structural challenges in South Africa, what we've also seen has been the significant opportunity to grow and continue to grow the work of our energy and infrastructure finance team and the ability for us to support many clients for -- in respect of their renewable energy and infrastructure needs. Already, our team has significant deal flow and are playing a role, not just in South Africa, but also across the broader continent. And I think that's probably also an opportunity to talk to us looking at how we would look at growing our Rest of Africa strategy, in line with our existing strategy, and we've already put in place certain key metrics to look at how we could grow our global markets presence, our trade finance and our energy and infrastructure finance teams into that. We do believe there's a significant opportunity in the rest of the continent. And it's more about how do we take a lot of our existing franchise value into those areas with a similar risk discipline and mindset. Thanks. I'll now hand over to Fani in Johannesburg for Q&A. Thanks, Fani.
Fani Titi: Thanks, Cumesh. Still have some closing today before Q&A. I'm sure you can see why I'm excited about this team that we have. I thought Nishlan was good in giving you a broad view of the whole group. I thought the granularity and texture that Ruth could give about the U.K. business and our unique positioning there was important. And Henry tells me that Cumesh is so easy and comfortable, given that this is his first presentation, you can see in a market that is very mature how we are attacking that market for growth as we go forward. So a fantastic A team, obviously, getting tempted to have them present the next results on their own. Just taking it home, I had referred to the Capital Markets Day in 2019. And I'm just going to wrap it up quite quickly. We can see that over the last five years or so, we have seen significant growth in earnings. As we go forward, the emphasis is sustaining -- is on sustaining performance. And you can see over the last three years, that has been the case, and we're quite excited that our interaction with clients continues to be very deep, as you heard from both Ruth and Cumesh. We also had indicated that we will be very much minded to manage our costs and have the discipline to do so as we go through, and you've seen some of the actions we have taken. As we go forward, I'm really relaxed about the ability of the business to manage costs. I know some people had said, why haven't you been more aggressive on your cost-to-income targets? We want to invest, and we also have the capability and the track record, I think, in managing our costs. You can see those costs remaining almost constant from 2020 to now from £1.18 billion to £1.120 billion. I mean, good cost control overall. We've talked in both markets about how we think about risk management and how there's a higher degree of risk consciousness and ownership. And you can see that in your impairment experience over time. We are at the top of the cycle of high interest rates. From here, we would expect that there would be a little of normalization. And in each of the markets, we're comfortable with our risk management experience as such. So the quality of our asset book really looks fantastic. We also talked five years ago about the capital allocation discipline. One of the elements of it was that we would return capital to shareholders that is in excess of our requirements. We had looked at a particular level of loan growth, both in the U.K. and SA, but we also had said we will restrict the issuing of shares that shareholders were concerned about in terms of dilution. So you can see on your weighted average number of shares outstanding, you will see that we were at 946 million. In 2020, we are now at 848.8 million. And that is a consequence, obviously, of the buyback on the one hand. And on the other, the fact that we are not issuing shares into the market. And we've talked about the ROE improvements over the period due to a strong capital generation that we see inside of the business. This improvement over time on the back of significant strategic execution has led us to revise our target upwards. Before I talk about that revision, Nishlan has spoken about the dilatory effect on our ROEs of the Rathbones transaction, given that there has been an uptick in our capital of about 380. So that leads to a dilution on our targets of 1%. So we had an original target of 12% to 16% of ROE -- on ROE at the Group level, adjusted technically just for the combination of Rathbones, that adjusts to 11% to 15%. And off that base, we are pleased to confirm that we will be targeting returns between 13% and 17% in ROE terms and in ROTE terms between 14% and 18%. Again, I repeat that the U.K. and the U.S. market report performance largely on ROTE. So we will focus on that a little bit. And our U.K. business will be reported that way to compare it easier with our U.K. colleagues, but we will continue to publish ROE for the U.K. Our cost-to-income ratio, this is through the cycle. We expect that to be less than 57%. We were at about 54% or so this year. So that cost-to-income ratio is for through the cycle, and we are comfortable that the discipline is there. So I know some people have commented on that as a potential area of concern. On the credit loss ratio, we have expanded a little bit our credit loss ratios to a range of 20 bps. So we now will have a credit loss ratio target range of between 25 bps to 45 bps. In SA, given Cumesh's presentation, we are looking, as I said, at 15 to 25 bps. In the U.K., given the positioning of that business in the mid-market, we are looking at a range of 30 to 50 bps. As Ruth talked about for the near term, we obviously will give you a sense of what we expect. We have lifted our dividend payout ratio from 30% to 50% to 35% to 50%. So the work done over the last five years has been substantial. The benefits are playing for all to see. More importantly, we have a base from which we can grow the business sustainably over the long term. Our duty is to serve our clients and to play a meaningful and impactful role in society, and we're committed in line with our purpose of creating enduring work to do the same. Looking near term at the financial year 2025, March 2025, we obviously recognize that there remains a significant level of volatility in the market and uncertainty. We have an election next week here. We have an election in the U.K. in July, July 4. We have an election in the U.S. in November, and there's a rolling election in India already. So there's a level of uncertainty and geopolitically, we have the challenges that we have. Despite that challenging environment, as I said, when I looked at the 50 years, we remain confident in our position as a business. We have deep franchises. We remain confident in the entrepreneurial culture that drives and binds our people. And we have very unique positions in each of the markets that we operate. I hope you got a sense of where we will be looking for growth in SA. You have a sense equally where we'll be looking for growth in the U.K. and Europe. So based on our positioning, despite the difficult backdrop, we expect revenue momentum to be supported -- to continue supported largely by book growth. You have seen the growth in our books, and that historic growth will obviously benefit us as we go forward. We expect rates to start to moderate in the current year. That moderation we would expect to be quite muted. The expectations, obviously, in the U.K. will be different to expectations. In SA, we think SA will be slower than the U.K., just given the fact that our inflation is still much higher than the midpoint of the range of 4.5%. Our governor would like to see inflation rates there and lower. So given those expectations, we see a muted influence on our net interest income, but obviously, there will be an impact. And given that environment, where we continue to acquire clients, where we see a level of activity, given in South Africa, the high level of -- the high-quality of our private clients and the larger corporates that we serve and also given the fact that post-election, hopefully, there isn't a significant instability around economic policy. We see at the moment that there appears to be a consensus that you may have an outcome, if you look at the latest polls for the ANC of around 45 and potentially a stable, either ANC government or on their own or coalition government. So if you have that sense of stability, we think there may well be some pickup in economic activity. We've seen improvement in energy. The energy availability factor recently has been at about 70%, which is quite important. Some people think that may be some chicanery around elections, but I do trust the Chairman of that Board of Eskom and the Chief Executive, we've seen some turnaround around Transnet. Again, the participation and collaboration between business and government seems to be yielding some positive momentum. In the U.K., our position is so unique. And our market shares are so small and the breadth of services is so impressive that we think even in a slightly tougher environment, we can do better. As Ruth indicated, if rates start to come down, even if it's only 25 bps, that feeds into confidence and sentiment. And in that environment, we would expect that our Group ROE should come out at about 14%. And Ruth wanted me to explain that circa means it could be slightly up or slightly down. So I'll give Ruth a 1% range, 0.5% each way. That's for you, okay? ROTE of circa 16%. For the South African business, we're looking at an ROE of 18.5%. And this is in pounds, by the way, because we report in pound. So a phenomenal achievement if we can reach it. In the U.K., we're looking at return on tangible equity of circa 14%. Our cost-to-income ratio under 57%. As I said, I'm not worried about our ability to continue to manage costs. So I wouldn't expect any significant deterioration in our cost-to-income ratio. Credit loss ratio to be within the target. Our business is well positioned. We are an optimistic bunch, the 7,500 people of Investec. We have a culture that looks for opportunity even in a difficult environment. So we look forward with a degree of confidence, and we have the pleasure and the pride of the last 50 years, but we remain cognizant that the market is tough. There is competition out there, but we will back this team to do well in this environment. I loved the team that we have in London. As I say, I'm tempted to have them present on their own. On that note, I'm going to ask for questions. I apologize, the presentation has been rather long. I really believed it was important for you to hear from both Ruth and Cumesh as they go into the detail of their businesses.
A - Fani Titi: Questions. Where do we start? Do we start in Johannesburg or elsewhere?
Unidentified Company Representative: We're going to start in the U.K.
Fani Titi: We're starting in London. I have to apologize. I can see you're keen to ask. Any questions in the U.K.?
Unidentified Company Representative: Yes, we have a question, Fani. Please go ahead.
Alex Bowers: This is Alex Bowers from Berenberg. I just have three questions, if I may. Just firstly, on NII. Is there any updated guidance in terms of sensitivity to rate, Ruth, both in sort of the U.K. and South Africa? So second question on the FCA motor finance review. You mentioned you expect an outcome at the end of this year. What's the sort of process between now and then to get us then what are the sort of key milestones along the way? And then lastly, just on the Rathbones deal, I know it's still early stages, but in terms of synergies between Rathbones and the private bank in the U.K., what are the sort of things you're starting to think about in that area? Thanks.
Fani Titi: Alex, I'll give you one chance you take three, right? So I'm going to ask my team there in the U.K. to address those questions. The NII guidance, we've published a book where we give sensitivity for each of the regions, but I'll ask Nishlan to just cover that briefly. And Nishlan, you can talk about Rathbones. Ruth sits on the Board of Rathbones. So we prefer for her not to answer any questions relating to Rathbones. So Nishlan will take that question. I don't remember the third question, but I'm sure the team will remember.
Nishlan Samujh: You might need to just remind me of the second and third question. But let's just deal with the interest rates. Interest rate sensitivity for the U.K. at around about 25 basis point movement is between £7 million to £8 million. From a South African perspective, I'm looking at Rich and I'm looking at Cumesh both have their heads down. So we'll take a flyer for that number around about ZAR 50 million for 25 basis points. Alex, if you don't mind, just remind us of the second and third?
Alex Bowers: Sure. Just on second was on motor finance. So the FCA review is ongoing. I think you expect an outcome in the year in terms of, I guess, the process between now and then what's expected to happen?
Nishlan Samujh: Well, obviously, it's not -- we've got to follow the unfold in terms of the FCA's process. I think there are some time lines associated with that. There's a lot of work going on around getting the data, getting to a level that I think is appropriate. We've used all of the guidelines that's available. We've used all of the data points that we can get our hands on. I think what was very important from Ruth's conversation is really the size of book in terms of the review period that we referred to. So we're quite confident in terms of our measurement. But I don't think we can give you much more detail around that.
Alex Bowers: And then the last one was just about the Rathbones merger and sort of potential synergy ideas between the private bank and Investec and Rathbones.
Nishlan Samujh: I think all of the synergy ideas remain consistent to what was discussed at the time of the execution of the transaction. So the first that we spoke about was bringing the entire business onto a banking platform, and that really enhances the treasury management. And you've seen some of that execution already come through in terms of the achieved £10.6 million. The other is the platform and to an extent, the transition of Investec Wealth & Investment on to the Rathbones platform itself. And then the third is, obviously, to do with the client pools on both ends of the businesses, and that will come over time. Now, I think what's key is that, when you look at Rathbones' March and December trading update, they have committed to getting towards an operating margin towards 30%. And that's by September 2026, which really incorporates the expected time lines around synergistic outcomes. I think the positive note that came through in March is that, the building that Rathbones has been released. And if you here earlier on, you would have heard some of the work going on upstairs. Thank you.
Fani Titi: I can confirm that Nishlan was right to the interest rate sensitivity in SA for a 25 bps move is ZAR 51 million. I think he said ZAR 50 million. So I think that's about right. Thanks Nish. Any further questions in the U.K.?
Unidentified Company Representative: No further questions, Fani.
Fani Titi: We'll come to SA.
Unidentified Analyst: Good morning. Thank you, Fani and team. Just two questions, please. Regarding the updated ROE target range, then the guidance for 2025, you're guiding to be within that range. Can you give us a sense of how you move up that range? Is it mostly about earnings growth, considering the CET1 ratios at the moment? Do you see opportunity to return more capital as well? And then can you give us an update on the outlook for revenue growth in the U.K. as well, please? Maybe just unpacking some of the areas where you see momentum, and I guess, the growth in the private client business as well, please?
Fani Titi: Okay. I'll ask Ruth later on to talk to how we see revenue growth within the U.K. environment. I think as we look at these targets from a South African perspective, we generate capital ahead of our usage, given where the environment is. We've indicated that we have a capital ratio of about 13.6% or so, overall guidance around CET1 is 11.5% to 12.5%. We would like to see how the environment unfolds over the next six to 12 months post the election. To the extent that we cannot grow our assets at a much faster rate because the environment is constrained, economic and political policy remains unsupportive of business. Obviously, at a point, we will have to review the excess capital that we generate. So it's not a tomorrow consideration, but it's a consideration we will make in the near future. From a U.K. perspective, we are growing at a pretty fast rate. Obviously, in this particular period with rates as high as they have been, the growth has not been as we have had it over the last two or so years. I would expect that business to continue to generate capital, but to reinvest in the business. So I wouldn't see necessarily excess capital coming out of that leading to us returning capital from that base. Obviously, we return capital through dividends and the U.K. bank participates in the dividends that we do declare. A lot more growth we see within that environment, in South Africa, it will depend on what happens economically over the next year or so. Ruth, do you just want to cover how you see revenue growth over the next 12 months or so?
Ruth Leas: Yes, sure. Thanks for the question. If we look back at revenue growth this year, I would say that it's been strong, but mixed. Certain areas have grown very strongly. Others have just maintained where they were at last year. We saw strong growth in energy and infrastructure finance, particularly in the U.S., but also in our U.K. business, we've seen growth in our aviation business. We've seen growth in asset finance. We've also seen our lending books in direct lending and fund solutions keep up with where they're at, even though they've been a very high level of redemptions. So we -- it's against a very low growth backdrop. So with rates coming down and higher activity levels, we do expect lending activity to increase as we go forward. Also, on the private client side, as I said earlier, we saw mortgage growth of only 4% last year, which is a slower run rate than we've seen in prior years, but much faster than market, and we see those pipelines building very strongly as we go into a reducing rate environment. One thing that has been quite elusive has been IPOs, and we would expect as activity levels increase, we should see greater possibility of fees coming on both the plc advisory side and M&A advisory side and certainly from a U.K. perspective, are very much looking forward to the days when IPOs will be back. It seems like with the way the capital structures are, with debt being so expensive, that it should be the time for equity again. And certainly, we've seen interest coming into the U.K. space or certainly the London market looking very, very cheap and investor interest coming in.
Fani Titi: Thanks [Bonnie]. We've obviously spoken about revenues from a Banking perspective. From a wealth perspective, we would expect that over the next 12 months, Paul Stockton and his team will be able to make the progress that they have signaled to the market with respect to synergies. So we look forward to that. To the extent that interest rates come down, market-facing businesses, asset management businesses, wealth management businesses potentially could do better, particularly if sentiment and confidence amongst private client improves in South Africa, we continue to serve the high end of the market. And as Cumesh indicated, we are internationalizing our offering. There will be a lot more focus on what we can do through Switzerland. And I'm sure you may have seen also that, that business has struck a distribution-type relationship to simplify it in Latin America. So that business is really quite positively looking at avenues for further growth. So both from a banking perspective and from a wealth perspective, we remain encouraged that there are pockets of growth that we can execute on. Thank you. Any further questions in Johannesburg? Yes, please.
Unidentified Analyst: Barry, there's a mic coming to you. Good day, my name is Barry. I wish to know you've got Wealth & Investment and Rathbones, neither of which are totally wholly owned, and now they're going on the same platform. Are you -- do you intend to combine them? Or how do you allocate customers per company, per admin?
Fani Titi: Just to be very clear, we own 100% of Investec Wealth & Investment South Africa, which is now -- we now call Wealth & Investment International. Rathbones is a U.K. domestic fund manager, discretionary fund manager. So for the U.K., clients that come out of the U.K. will go into Rathbones. So that's pretty clear. Outside of the U.K. market, we have a strategy to grow internationally, and we will do that in particular through the Swiss platform. That's why I mentioned the Swiss platform. So the decisions are quite easy, and there will be a set of clients that pre the transaction, South African clients that will continue to be managed in partnership with Rathbones. So we've thought quite clearly about the opportunity. We think in a U.K. context, given some of the changes in rules around pension funds that the opportunity for a player like Rathbones clearly the largest in its segment, will be able to grow for our people. That platform gives us an opportunity for growth where we can increase capability within the U.K. environment. So we're quite excited about the U.K. domestic opportunity. Outside of that, our business has grown particularly strongly. You saw about a 30% increase in profits. You saw in W&I International. You saw £16 billion of inflows, discretionary inflows. So we're quite excited about that wealth opportunity.
Unidentified Analyst: Next question. Your share buybacks, do you intend to continue? I haven't read the document. And if so, are you biased to buying more South Africa or more buying the U.K. listed?
Fani Titi: We've largely come to the end of the ZAR 7 billion program. I think the number that we reported last time was about ZAR 6.8 billion or so. So we've got about ZAR 200 million or so to go. As I answered the previous question, the buildup of excess capital, we will review over time. So in the near term, we are not looking to launch any significant buyback program. But as I said, we do generate excess capital within a South African environment. Any further questions in Johannesburg? Do you have anything from the...
Unidentified Company Representative: Yes. Have something from the webcast? This is from Risk Insights. We rate Investec on ESG, and we've noticed that your Scope 3 emissions as a percentage of total emissions is quite low. We've seen this pattern with other listed companies in SA as well. Typically, Scope 3 accounts for more than 80% of total emissions. Is there a plan to competitively position Investec by measuring Scope 3 more effectively?
Fani Titi: We obviously have done as much work as we can do in this area. One of the areas of progress is in standardizing data that when you look at Investec and Standard Bank and Barclays or you look at JPMorgan, that the data you see is credible and comparable. So a number of standards are being developed, and they're becoming more acceptable standards. For instance, we use PCAF in certain instances. And when you get to Scope 3, there have been a number of developments in data integrity. So until we have a level of -- higher confidence in data integrity, the work we do will always be work in progress. And we do report quite extensively our emissions. But yes, this area requires a lot more development in the quality of the data, not just for Investec, but industry-wide and globally, but we remain committed to doing our best in terms of decarbonization. Is that it?
Unidentified Company Representative: That's it. No more questions.
Fani Titi: Okay. I think we've come to the end of the presentation. Thank you for your attendance. We will talk to you again in six months, and wishing you well for those who will be going to elections next week. And for our U.K. colleagues, wishing you a good summer. Thank you very much.